Operator: Good morning, and welcome to the Air Products and Chemicals' Third Quarter Earnings Release Conference Call. Today's conference is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Vice President of Investor Relations. Please go ahead, sir.
Simon Moore: Thank you, Ron. Good morning, everyone. Welcome to the Air Products’ Third Quarter 2016 Earnings Results Teleconference. This is Simon Moore, Vice President of Investor Relations. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President & CEO; Scott Crocco, our CFO; and our senior business leaders. After our comments, we'll be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure on page two of the slides and at the end of today's earnings release. During the call today, we will provide a progress update on the sale of Performance Materials to Evonik and the spin-off of the Electronic Materials as Versum materials. The quarterly results we are sharing today and our guidance for fourth quarter EPS includes both PMD and EMD in continuing operations. We continue to evaluate the progress of both transactions to determine when to report these businesses in discontinued operations. Now, I'm pleased to turn the call over to Seifi.
Seifollah Ghasemi: Thank you, Simon, and good morning to everyone. Thank you for taking time from your busy schedule to be on our call today. We do appreciate your interest in Air Products. First, let me introduce the members of our team who are on the call. In addition to Simon, I have Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer; Mr. Corning Painter, Air Products' Executive Vice President, responsible for Industrial Gases; Mr. Guillermo Novo, Air Products' Executive Vice President, in charge of our Materials Technology business, who will be the future CEO of Versum Materials; and Mr. George Bitto, Vice President, Finance for Material Technologies, who will be the future CFO of Versum Materials. All of us will be participating in the call and in answering your questions. I am very pleased to report that our team at Air Products delivered another set of excellent results this quarter. Despite these sluggish economic growth worldwide and continued currency headwinds, our team stayed focused on executing our strategic 5 point plan. We delivered earnings per share of $1.92, which is up 16% over last year, and it is the eighth consecutive quarter that Air Products has reported double-digit earnings-per-share growth. We also improved our EBITDA margin by more than 300 basis points and our Return on Capital Employed increased 200 basis points to 13.5%. I do want to thank the people of Air Products for coming together to prove that they have the determination and the capability to delivery outstanding results and move our company forward to be the best in the industry. As we move closer to the sale of our Performance Material division to Evonik and tax-free spin-off of our Electronics Material division now called Versum to our shareholders, we see great opportunities ahead to bring key projects and invest in our core industrial gases business so that we grow Air Products in the years to come. Now, please turn to slide number three. Our quarter three safety performance was better than last year and last quarter, but I do want to mention that the only acceptable goal for us is zero accidents. We have the responsibility to our employees and their families to ensure that everybody goes home after a hard-day work with no injuries or incidents. At Air Products, safety is the responsibility of every single employee. Now, please turn to slide number four, which is the statement of our overall goal for the company. We are determined to become the safest and most profitable industrial gas company in the world, providing excellent service to our customers. We have made great progress on the profitability side and I'm confident that we can focus and continue to improve our performance on the safety side. Now, please turn to slide number five. Here you can again see our overall management philosophy. We believe strongly that cash generation is what drives long-term value. We believe that what counts in the long-term is the increase in per share value of our stock, not the size of our company or growth rates. In addition, Air Products generates significant amount of cash and the effective deployment of that cash is one of my most important responsibilities as the CEO of the company. Now, please turn to slide number six, our 5 point plan. Our strong performance this quarter and in the previous quarters is a direct result of our focus on executing our 5 point plan. The first point of the plan is our focus on industrial gases, our core business, and therefore, we are in the process of divesting our non-core businesses. As Scott, Guillermo and George will provide you details, but we're making great progress on the sale of Performance Materials to Evonik, and we expect that the deal will close before the end of this calendar year. And we are well on our way to the tax-free spin-off of Electronics Materials to our shareholders at Versum Materials. These transactions will be excellent for the employees of all three companies. Air Products will be focused on its core Industrial Gases business, PMD employees will be core to a world-class materials company at Evonik and EMD employees will be an independent best-in-class electronics material company. And because these are the right strategic moves, I firmly believe that these actions will also create shareholder value in the long-term. We also continue to work hard on the fourth point of our plan, the responsible use of cash and eliminating unnecessary work. A robust process to review every capital investment of more than $3 million means we have visibility and control to ensure we earn a minimum expected return of 10% on all of our new projects. We continue to enjoy a strong backlog of projects that will deliver volume, revenue and earnings growth over the next few years. I am very optimistic about the growth potential of our core industrial gases business, especially opportunities in on-site oxygen and hydrogen plants. In addition, the separation of PMD and EMD from Air Products will leave about $20 million of stranded costs at Air Products. We are committed to eliminating additional work to offset these costs within a year of closing the transactions I mentioned. Now, please turn to slide number seven for the summary of our results for the quarter. As Scott will take you through the details, but I want to emphasize that the operational improvement actions we have taken this year and the benefits of restructuring actions we took last year enabled us to deliver these strong results, despite the weak worldwide economy and continuous currency headwinds. Now, please turn to slide number eight. You can see quarter by quarter our progress during the last two years. You will note that we have improved our EBITDA margin by more than 900, yes, 900 basis points. This single chart is a great example of the focused efforts of the people at Air Products; once again, I thank all of them for their contribution. Now, please turn to slide number nine. This single slide, again, truly captures the essence of what the people of Air Products have achieved. Two years ago, we announced that our collective goal was to be the most profitable industrial gas company in the world as measured by each of these financial metrics. The conventional wisdom at that time was that it cannot be done, that Air Products did not have the portfolio of businesses or so-called density to achieve this goal. But the people of Air Products rolled up their sleeves, went to work and said, yes, we can. So, today, Air Products has the best EBITDA margin in the industry at 34.2%, the highest EBIT margin in industry at 23%, and the highest Return on Capital Employed margin at 13.5%. Every single one of our 19,000 people have contributed to moving us forward to be the best in the industry, and let me tell you, our people are determined to maintain our leading position in the years to come. Now, I would like to turn the call over to Mr. Scott Crocco, our Senior Vice President and Chief Financial Officer, to discuss our quarterly results in detail. Then I will come back after comments from Corning, Guillermo, George and Simon to make some closing remarks, and then we will be delighted to answer your questions. Scott?
Scott Crocco: Thank you very much, Seifi. Before I discuss our quarterly results, let me provide you with an update on the two transactions Seifi mentioned. In summary, things are proceeding as we expected. First, the sale of PMD to Evonik. We said we expect to close this transaction by the end of calendar 2016, and we are working hard to meet that goal, subject to the various required approvals. We are working closely with Evonik, on antitrust and other critical steps and are moving as quickly as possible. Second is the spin-off of EMD as Versum Materials. We said we are targeting to separate the EMD business from Air Products by September and the spin-off Versum as an independent publicly traded company in October. We are working hard to meet this goal, including completing a variety of legal entity separations and tax activity. George will talk about an important step in this process, the filing of Form-10, which we did last week. And while no one can predict what will happen in the markets, we are comfortable that at least today the markets would be conducive to proceeding with the spin. So although we have a lot more work to do, at this point, subject to the timing of obtaining regulatory approval, we are optimistic we will be ready to execute the spin-off in October. Now, please turn to slide 10. For our third quarter, sales of $2.4 billion decreased 1% versus last year, on lower energy pass-through and unfavorable currency impacts of 3% and 2% respectively. Volumes were 4% higher, primarily due to Jazan project. In other areas, volumes continued to be higher in gases, Asian and North America, offset by economic weakness in South America and Europe. Pricing was unchanged as positive pricing in gases Americas and Europe was offset by lower pricing in Asia and Performance Materials due to lower raw material costs. We delivered significant operating leverage again this quarter, as EBITDA of $833 million, improved by 10%, and operating income improved to $560 million, improved by 16% despite the lower sales. EBITDA margin of 34.2% and operating margin of 23.0%, both improved by 340 basis points, as we continue to execute on our 5 point plan. All three regional industrial gas segment and Materials Technologies delivered margin improvement. Lower energy pass-thru only contributed about 50 basis points to the operating margin improvement. Excluding the impact of energy pass-thru, operating margin improved about 290 basis points, primarily from the benefit of self-help actions we've taken and a modest benefit from price and lower raw material costs. Versus prior year, net income increased by 17% and earnings-per-share grew 16%. And we continue to improve our Return on Capital Employed, which increased 200 basis points to 13.5% on our higher profitability. Now, please turn to slide 11. You’ve heard Seifi and I talked about our focus on cash flow, so we are pleased to see that our free cash flow was $191 million this quarter, up $95 million versus last year, due to higher EBITDA and lower growth CapEx. As a reminder, from a timing perspective, it is not unusual for items to move around quarter to quarter, particularly maintenance capital and cash factors. Turning now to slide 12, you can see an overview of this quarter's performance in terms of earnings-per-share. Before I comment on our Q3 operating performance, I’d like to spend a moment on the non-GAAP items that totaled $0.29 per share. We incurred Materials Technology separation cost of $10 million or $0.04 per share, primarily for legal and other advisory fees. As a result of our decision to separate MT, we declared a dividend to repatriate $444 million from a subsidiary in South Korea, resulting in an income tax cost of $46 million or $0.21 per share. We’ve recognized this book cost in Q3, because that's when the decision was made. However, the cash flow impact will be seen in Q4 when we actually pay the tax. And as I mentioned last quarter, we’ve completed the actions associated with our first $300 million of restructuring, and now we’re focused on our second $300 million of operational improvements. We incurred a $15 million or $0.04 per share charge associated with these operational improvement actions, and this included a $1 million pension settlement charge. Excluding these items, our Q3 continuing operations’ EPS of $1.92, increased $0.26 per share or 60% versus last year. The impact from volumes increased EPS by $0.01 per share. Pricing versus raw materials taken together contributed $0.04, partially driven by lower raw material costs. Net cost performance was $0.25 favorable, in part due to the benefit of our operational improvements and from last year's restructuring actions. Cost performance also benefited about $0.15 primarily from lower incentive compensation and lower pension cost. Currency was $0.05 unfavorable, as many currencies weakened against the dollar. As a reminder, for gases, our currency exposure is primarily translation, as the vast majority of our products are made and sold in the same currency. Equity affiliate income was unchanged; interest expense was $0.02 higher, primarily due to lower capitalized interest. Taxes were modestly lower, contributing $0.01 to earnings. For the year, we still expect our effective tax rate to be in the 24% to 25% range, well, likely closer to 25%. Non-controlling interest was $0.03 favorable, primarily due to our increased ownership position in Indura. And finally, higher shares outstanding reduced our diluted EPS by $0.01. Now to begin the review of our business segment results, I’ll turn the call over to Corning.
Corning Painter: Thanks, Scott. I’m pleased to present another quarter of very strong results, and would like to thank the entire industrial gases team around the world for staying focused on the things we control. Our commitment to driving operational productivity of staying focused on safety allowed us to overcome currency headwinds and challenging economic conditions to deliver another great quarter. In addition, we are very excited that we continue to compete for and win key projects that will support industrial gases growth into the future. Just last week, we announced a new plan to provide ultrahigh purity gases to customers in the Pukou Economic Development Zone in Nanjing, China. The Pukou Economic Development Zone is a state-level part that will be home to semiconductor and other high-tech manufacturing. In fact, the world’s leading semiconductor foundry recently announced an investment of $3 billion for a new 300 mm wafer fab, scheduled to commence production of 16 nanometre technology in 2018. We are very encouraged by the progress we have made on our taking the lead operational improvement initiative. We've seen positive results across all regions and are encouraged by the actions and the behaviors that will enable us to deliver our second $300 million commitment. For example, to improve distribution efficiency, we are optimizing delivery parameters, such as outbound and inbound way customer delivery restrictions and tank size. Many themes impact distribution efficiency and our regional incentive plan helps to align their efforts. Now, please turn to slide 13 for review of our Gases America's results. Our double-digit EBITDA and operating income improvements were driven by our combined focus on self-help operational improvement and the benefits of last year's restructuring action. Sales of $832 million were down 7% versus last year, as the pass-thru of lower energy prices reduced sales by 5% and currency reduced sales by 2%. Overall, Americans volumes were down 1%, as Latin American volumes being down mid-teens, negatively impacted overall Americans by 2%. We saw weakness in our packaged gases, equipment and liquid, both businesses across most of our key geographies in Latin America. In contrast, North America volumes were up, contributing a positive 1% to our overall America’s volume, as we saw the benefit of our new hydrogen plant in Canada and strong hydrogen demand in the US Gulf Coast. The new Canadian plant is running well and we anticipate increased profit contributions from this plant as an additional customer comes on stream in late 2017. Overall LOX/LIN volumes were down. I’d like to make three points on this. First, same customer volumes, year-on-year, were up slightly. Second, we’re beginning to lap last year's decline in the oilfield services business; however, this is still a headwind for us this quarter. And third, we have not yet seen an improvement in the steel business. Pricing was up 1% with particular success in Latin America. Operating income of $235 million was up 14%, and EBITDA of $362 million was up 11% versus last year, as the benefits of our operational improvements and restructuring actions more than overcame headwinds from lower volumes, currency, and lower energy pass-thru. We set another record operating margin this time of 28.2%, up over 500 basis points, and another record EBITDA margin of 43.5%, up 700 basis points. Lower energy pass-thru accounted for about 100 basis points, meaning that the underlying operating margin was up over 400 basis points excluding the lower energy pass-thru. Now, please turn to slide 14. For our Europe, Middle-East and Africa business, we continue to see our operational improvements, restructuring and price actions more than offsetting volume weakness and currency headwinds as EBITDA and operating margins again set new records, both up over 500 basis points. Versus last year, sales of $427 million were down 6% due to a negative 5% impact from lower energy pass-thru and a negative 1% currency impact. Underlying sales were flat, with volumes down 1% on weakness in the UK, Ireland, and in central Europe, partially offset by slight positive demand in southern Europe. Given the timing of the BREXIT vote, we don't believe it impacted this quarter, but uncertainty has clearly increased going forward. Prices were up 1%, our sixth consecutive quarter of positive pricing despite the weak economy and low inflation. We continue to focus our efforts on ensuring that each customer is profitable for our business. Operating income of $103 million was up 18% and EBITDA of $160 million was up 9% as our productivity and price actions more than offset headwinds from currency and lower volumes. Record operating margin of 24.2% and record EBITDA margin of 37.4% were both up over 500 basis points. Lower energy pass-thru accounted for about 100 basis points, meaning that the underlying operating margin was up 400 basis points, excluding lower energy pass-thru. Please turn slide 15 Gases Asia. Volume growth and the benefits of operational improvements and cost reduction actions drove significant profit growth this quarter. Sales of $448 million were up 7%, primarily driven by volumes of 14%, partially offset by a negative 5% impact from currency, primarily from China, Korea and Taiwan, and a negative 2% price impact. Roughly two-thirds of the volume increase was from new plant, including an increase in energy pass-thru revenue. Our merchant business was up mid-single digits across Asia and our China retail LOX/LIN business was up double-digit. That said, we expect the oversupply conditions in China to remain for some time certainly through at least next year. Sequential volume increase of 10% was driven by a seasonal recovery from the Lunar New Year, as well as an increase in energy pass-thru revenue. Pricing was down 2% versus last year, as we continue to see a moderating rate of decline in China LOX/LIN/LAR pricing, however, we have seen more price pressure in helium. Operating income of $118 million was up 17%, and EBITDA of $182 million was up 10%, as our productivity actions and stronger volumes more than offset the headwinds from currency and price. Operating margin of 26.4% was up over 200 basis points, and EBITDA margin of 40.7% was up over 100 basis points. I’ll close with a brief comment on the Global Gases segment. You'll recall that this segment includes most of our air separation unit sales equipment business, as well as cost associated with the Industrial Gas business, which are not region specific. Sales were up as we recognized about $100 million of revenue from the Jazan ASU sale of equipment, that more than offset weakness in small equipment and other ASU sales. Segment profits improved on lower cost and a few non-recurring items last year. Now, please turn to slide 16. And I’ll turn the call over to Guillermo for a review of our Materials Technologies segment result.
Guillermo Novo: Thank you, Corning. As Scott mentioned, we’re making great progress on both the sale of our Performance Materials business and spin-off of our Electronic Materials business. You can see the Materials Technologies continues to show strong results. Even though we are on our separation journey, I’m going to focus my comments today at the division level. Please turn to slide 17 for review of our Performance Materials division. Sales of $277 million were flat as 4% higher volumes were offset by 4% lower price. The positive volume was driven by strength in our epoxy and markets including wind, adhesives and flooring, and improve polyurethane additives volume across most markets. This was offset by specialty additives weakness due to lower oil and gas related activity and the temporary shutdown of a specific mining customer in Brazil. Overall, prices were down, driven by broader petrochemical-driven deflation, but were more than offset by lower raw material costs. Performance Materials EBITDA of $69 million was up 6%, and operating income of $63 million was up 9%. ETBIDA margin of 24.9% was up 130 basis points, and operating margins of 22.7% was up 180 basis points, primarily driven by productivity and favorable price from material balances. Please turn to slide 18. Versum Materials, the planned spin-off of our Electronic Materials business. As I shared with you in June, I'm very excited to be responsible for Versum Materials, a company with solid growth, high margins, low capital intensity and very high free cash flow. Versum is a very strong business, both from a market leadership and financial perspective. We operate in the semiconductor space which will present us with exciting and profitable growth opportunities. We are being setup for success. It’s a good company that will have the capability to profitably grow organically and inorganically. And finally, our team is very excited about the opportunity to be the best-in-class pure play Electronic Materials Company. On slide 19, you can see the historical EBITDA margin for our EMD business as reported within our products. As you can see, the sustainable and fundamental changes we made to our business will allow us to deliver strong margins into the future. Let’s take a look at the results for this quarter on slide 20. Please remember these financials offer EMD as reported within Air Products. Our team delivered another strong quarter, proving we’re staying focused on servicing our customers and driving operational improvements while we continue to deliver new and innovative solutions to our customers. Sales of $243 million were down 8% on 6% lower volumes, flat pricing and a 2% negative currency effect. As you can see, all of the negative volume impact was due to delivery systems. As expected, delivery systems was down significantly compared to high level of project activity last year, but this level of activity dropped off in the fourth quarter of last year, so it won't be a significant headwind next quarter. Overall, Materials volumes were flat as we continue to see growth in our advanced Materials business, partially offset by softer volumes in our profit materials. Although the foundry market has been soft in the first part of year, we’re seeing improvements and demand from our foundry customers in the last few months. EBITDA of the $86 million was down 7% and operating income of $73 million was down 5% versus last year. EBITDA margins of 35.3% and operating margins of 30.0%, both up modestly. Pricing, mix and the benefit of our operational improvement actions were more than offset by headwinds from currency and the lower delivery systems volumes. Before I turn the call over to George, to discuss our financials, let me just say that we look forward to more discussions with you about a very exciting Versum Materials business in the next few months leading up toward spin-off. Now, let me pass the call over to George Bitto, our future CFO for Versum Materials. George?
George Bitto: Thank you, Gibbo. Please turn to slide 21, where you can see the updated trailing-12 month results for EMD. Remember, this is as reported within Air Products, so it does not include any corporate costs that are not business specific. Sales of almost $1 billion and EBITDA margins of 36% continue to demonstrate that Versum Materials is a very high-quality business with very attractive margins. As part of our preparation for the spin-off, we filed an update to our Form-10 with the SEC last week and we provided a few slides today to help you extract the key information from the Form-10. These slides are available on our website. Given the requirements of the Form-10, there are a few different financial bases that I wanted to take a moment to explain. First, there are the financials you've seen reported for EMD within Air Products, again, it's important to remember that Air Products does not allocate any non-business specific corporate cost into the business segment. Second, the Form-10 includes Versum-audited combined financial statements. The most significant difference between these and EMD financials is the allocation of Air Products corporate cost to Versum. And finally, the Form-10 also includes Versum unaudited pro forma financial statements for FY15 and the first half of FY16, which includes adjustments to reflect Versum on a post-separation basis. The two major areas of adjustments to point out are a few small product lines that are currently reported in EMD, which will stay with Air Products after the spin. It’s about $22 million of sales and about $11 million of profits per year, and the impact of $1.15 billion of debt, down slightly from the $1.25 billion we’ve talked about in the past. We continue to believe that Versum will operate very successfully within initial debt ratio in the three to four times EBITDA range. We will continue to refine our thoughts on the right debt and leverage levels to support Versum’s very exciting growth opportunities as we move closer to the spin. Now, please turn to slide 22. Given the various financials and a variety of time frames, we suggest that the most relevant cash flow numbers are shown on this slide. As referenced in the footnote, we start with $344 million, as reported for EMD for the last 12 months ending June 30, 2016, the same $344 million you saw on the previous slide. We subtract about $20 million of EBITDA for adjustments to get to Versum’s standalone, including public company costs. This adjustment includes about $15 million of expected new costs and about $5 million that was previously included as a non-cash depreciation charge. And then, we take out about $11 million of EBITDA primarily for products that will stay with Air Products, resulting in a revised trailing-12 month EBITDA of $313 million. Assuming a 6% interest rate on the $1.15 billion of debt and factoring in estimated cash taxes and capital spending, you can see the Versum generates a very high level of free cash flow, about $165 million that we can use to grow our business. Now, I’ll turn the call back over to Simon for a quick comment on our corporate segment.
Simon Moore: Thanks, George. Our corporate segment consists of our LNG and helium container businesses, as well as corporate costs which are not business specific. Sales were down versus last year on lower LNG project activity and profits were about flat as lower costs offset the lower sales. As we've said, we’ve not seen delays or cancellations of any major equipment orders in our backlog, but the lack of customer decisions on new projects will impact our FY16 and FY17 results. This is likely to be about a $0.10 headwind in FY16 versus FY15, and will be an additional headwind for us in FY17. Now, please turn to slide 23 and I'll turn the call back over to Seifi, for discussion of our outlook.
Seifollah Ghasemi: Thank you again, Simon. The Air Products’ team remains focused on implementing our 5 point strategic plan, to move us forward to become the safest and most profitable industrial gas company in the world. Our guidance for the fourth quarter of fiscal year 2016 is for earnings per share of $1.91 to $2.01. At midpoint, this will be an increase of about 7% over the fourth quarter of last years. Our full-year fiscal ‘16 guidance is now at $7.45 to $7.55. At midpoint, this will be an increase of 14% over already strong fiscal year [indiscernible] performance and is $0.13 or almost 2% higher than the annual guidance we gave you in October of last year. We now expect our CapEx to be no more than $1.2 billion for the year. As you can see from our results, we improved our cash flow by almost $100 million dollars this quarter. As a reminder, our priorities for the use of cash remain as follows: Number one, maintaining our A credit rating, that means we pay down debt to make sure that we have an A credit rating. Number two; invest in good projects and accretive acquisitions. We are very excited about the opportunities in our core industrial gases business. Petrochemical investments in the US Gulf Coast, refinery hydrogen plants around the world and oxygen for coal gasification in China present key growth opportunities for us and we believe Air Products is very well positioned to win profitable deals for these very large plants. Number three, priority for use of cash is continuing as we have to increase our dividend. And number four, if there is any excess cash available, we are very comfortable in returning money to our shareholders in the form of share buyback. At the end of the day, the cash we generate belongs to our shareholders and we will only spend it if we have high-return projects or good acquisitions. And now, we will all be delighted to answer your questions.
Operator: [Operator Instructions] And we’ll take our first question from Duffy Fischer from Barclays.
Duffy Fischer: Yes, good morning, guys.
Seifollah Ghasemi: Good morning, Duffy.
Duffy Fischer: Just wanted to see if you could break down a little bit on the Americas gases, you helped us with the volume look at North America versus South America. Could you do the same thing for price and if you looked at price versus the two parts of the Americas, how was that different?
Seifollah Ghasemi: I’ll turn it over to Corning to comment on that.
Corning Painter: So, we had success in our pricing efforts in each area, I think it’s important to recognize what’s most important is price versus let’s say power in other input costs, and that was a positive for us.
Duffy Fischer: Okay, and then maybe just one comment on the recent steel tariffs that have been enacted, how do you see that affecting the global base of your steel customers? Is that a net positive for you guys?
Seifollah Ghasemi: Duffy, the way we see that, it’s not material enough yet to kind of make a comment on that. We’d like to wait a little bit more just to see that, we have not seen a significant change.
Duffy Fischer: Okay. And have you seen any change in behavior in the steel production in China, either from those tariffs or from their earlier proclamations by the Chinese government that there'd be some forced consolidation in that industry?
Seifollah Ghasemi: I think Corning can comment on that.
Corning Painter: So, I mean there has been a large announced consolidation with Baosteel. I think after the Lunar New Year, we saw steel prices spiked in Asia, in China, that spike was not very long lasted and came back down. So, I think there is like a momentum you could say in China and a commitment, and clearly a reality there is over capacity that needs to get source it out, but this is going to have to be worked through and there is social implications to that.
Duffy Fischer: Great. Thanks, fellas.
Seifollah Ghasemi: Thank you, Duffy.
Operator: Moving to our question, we’ll go with Christopher Parkinson from Credit Suisse.
Christopher Parkinson: Perfect, thank you very much. Your margins continue to impress in the Americas, but can you comment on a few different end markets? You mentioned hydrogen demand remained strong, but are there any other trends across your portfolio worth noting, particularly in the bulk business? Thank you.
Seifollah Ghasemi: This is Industrial Gases. In Industrial Gases, I think Corning went through the details about the volumes and all that. Industry-wise, we don’t see any significant change. Our hydrogen volumes in the US continue to be strong because of the demand for gasoline, but nothing particular that we would want to point out as if anything has changed in the last quarter.
Christopher Parkinson: Perfect. And then, can you quickly comment on the longer-term potential for project activity? I know you've been optimistic on the US Gulf Coast, but do you have any incremental comments on the Middle East, Central Asia, or China, and whether or not you’re more or less optimistic than you were, let's say, six months ago? Just any perspective would be appreciated. Thank you.
Seifollah Ghasemi: We continue to be optimistic, and quite frankly, today, I’m more optimistic than I was last quarter or the quarter before that. We see a lot of opportunities because I think Air Products is very well positioned to take advantage of all of the opportunities that might come about in the US, in the Gulf Coast and in China. So, yes, I would summarize that we’re more optimistic, yes.
Christopher Parkinson: That's great color, thank you.
Seifollah Ghasemi: Thank you.
Operator: And we’ll take our next question from David Begleiter from Deutsche Bank.
David Begleiter: Thank you, good morning.
Seifollah Ghasemi: Good morning, David, how are you doing?
David Begleiter: Good, than you. Seifi and Scott, on the Q4 guidance, still a $0.10 range here, what's the level - what's driving the uncertainty with a wide range at this late stage?
Seifollah Ghasemi: David, the only reason, as you know, we usually have a $0.05 range at this time of the year. The only reason we have put down $0.10 is that we are very concerned about what is actually going to happen to currency exchange rates. That’s something that is not under our control, I mean what is going to happen to the British pound, what is going to happen to the Chinese Yuan, therefore, we wanted to have a wider range because we can pretty well predict what our internal performance is going to be, but since we reported results and the translation is there, we don’t have a hand on, that’s why we didn’t want to get ahead of ourselves.
David Begleiter: Very good. And just last thing on the Jazan project, Seifi, can you talk about why revenues were up in the quarter sequentially, but losses were up as well in the global industrial gases segment?
Seifollah Ghasemi: Well, David, we are recognizing revenue but we are not recognizing the profit yet. The reason for that is that we want to move forward with the project a little bit more, and make sure that we are going to be able to meet the commitments that we have in the contract in terms of power consumption and schedule because there are speculated damages there, so we’re being conservative in recognizing profit. We will obviously at some point in time recognize profit, but we have not done that this quarter, we haven’t done that yet.
David Begleiter: Thank you very much.
Seifollah Ghasemi: Thank you.
Operator: And we’ll take our next question from PJ Juvekar from Citi.
PJ Juvekar: Yes, hi, good morning.
Seifollah Ghasemi: Good morning, PJ. How are you doing?
PJ Juvekar: I’m doing well, Seifi. A question on the backlog again, can you just give the dollar amount of the backlog? And in the past year, you talked about privatization of industrial gas assets from national oil companies, projects like Jazan, are you in discussions with those companies? And when do we see anything?
Seifollah Ghasemi: Well, our backlog, we had - slide number 27 that gives you a detail of the backlog. Our backlog currently stands at $2.1 billion, the reason it was lower than last quarter is because of the hydrogen plant coming on stream, but in terms of those kind of discussions, PJ, if you give me a break, I don’t think it would be appropriate for me to make any comment, because we are - when it comes to national oil companies and all of that, people would like to be a little bit more discreet. So, you know about our strategies, but I don’t want to comment in any detail.
PJ Juvekar: Okay, thank you. And then, just a question for Guillermo on Versum, you talked about sort of flat volumes, excluding delivery systems. Can you talk about any new wins or losses in new technologies like 16-nanometer you mentioned? And if your high-end applications are growing, what’s declining or what end markets are declining to keep overall volumes flat? Thank you.
Guillermo Novo: Thanks for the question. If you look at the pure materials side of the equation, our advanced materials actually has been growing well in the, I would say, low-to-mid single digits. It’s all driven by recovery of the foundry markets and a lot of the new technologies, I would point out Memory still being a very good market for us in driving a lot of the new growth. So, that part has been doing very well, in line with our expectations. If you look at Process Materials, I would say two things, one, we had some discontinued operations that we exited ammonia business in China and some other smaller pieces of business, so that’s a little bit of a headwind. And then the volumes, remember, we’ve been tied on capacity in a lot of major products, we’re expanding and bringing on some debottlenecking in the next few quarters. So it’s just really more ups and downs of the different product lines. Overall, if you exclude discontinued business, I would say our materials business grew in the 1.7% range.
PJ Juvekar: Thank you.
Guillermo Novo: Thank you, PJ.
Operator: And we will take our next question from Jim Sheehan from SunTrust Robinson Humphrey, please go ahead.
Jim Sheehan: Thanks. Seifi, you've got cash coming in, the proceeds from the PMD divestiture and possibly more after EMD is finished. Can you talk about the timing of your uses of this cash? I know you've set out your priorities. Do you see using this cash for M&A or for new projects as more of a 12-month phenomenon or would the time frame be in multiple years?
Seifollah Ghasemi: Well, Jim, thanks for your question. The cash is - considering the timing of everything, we will really have our hands on the cash kind of beginning of 2017. Obviously, we are cognizant of what is coming and we would like to put that to good use. Our number one priority, after we have paid down the debt, because of the loss of the EBITDA that we have and making sure that we have our A rating, then we still can have a lot of cash on hand. And as I said before, our number one priority is organic growth, we see a lot of opportunities and we’re going to put that to work best. We are looking at acquisitions that’s not huge ones, but smaller ones, that would be a possibility. And then, the other thing is that in terms of timing it’s difficult to put a timeframe on that in terms of - because if some of these big projects happens, we can use that cash quickly, but I would like to add that the fact that we have cash doesn't mean that we're going to rush to spend it. We are going to be very prudent at the use of cash. I've always said, our capital allocation is one of my most important responsibilities, so we will look at things, the fact that we have cash gives us a lot of power to do things, but at the same time, we're not ready to just go and burn it up just because we have the cash.
Jim Sheehan: Great. Can you talk also about the possible impact of BREXIT on your project backlog and - both in Europe and other parts of the world? I mean, you yourself are taking a more cautious view of FX in the fourth quarter. How are project discussions going in light of BREXIT?
Seifollah Ghasemi: Well, the BREXIT, in terms of lost projects, I don’t know that many of them in Europe anyway, so I don't see too much of an impact on that, but the fundamental effects of BREXIT, I think, it is going to take many years to manifest itself. Personally, I think that that is going to have a very negative effect in the long term, but I don’t see any immediate effect in our businesses and we haven't seen that anybody has cancelled any project in China because of BREXIT. And there are people, as I'm sure you read the different articles that argue that BREXIT is going to actually weaken Europe and strengthen China, which I think might be the case.
Jim Sheehan: Thank you.
Seifollah Ghasemi: Thank you.
Operator: [Operator Instructions] We’ll take our next question from Bob Court from Goldman Sachs.
Chris Evans: Good morning, everyone. This is Chris Evans on for Bob.
Seifollah Ghasemi: Hi Chris.
Chris Evans: So I was hoping - so cost was a big contributor in the quarter, and I guess as we look into the fourth quarter and beyond, your EPS guidance in the fourth quarter sort of implies a growth deceleration. So I kind of wanted to get your thoughts specifically on how cost might be an impact in your growth as you lap some of the benefits from the prior year?
Seifollah Ghasemi: Our guidance for the next quarter is entirely based on our activities in terms of our take the lead and cost actions. We are not counting on any significant improvement in economic activity, and we’re not counting on any significant appreciation because of exchange rates. Everything that we have done in the past two years, the improvement that you see in EPS, the double-digit growth in EPS is all due to the internal actions that the people of Air Products has taken, and that will be the contributor to our improvement for next quarter.
Chris Evans: Thanks. And then, I guess thinking about the company post-reorganization, what do you think the sustainable CapEx spend would be as you look out, and especially in regards to the current environment?
Seifollah Ghasemi: We think our CapEx requirements on the standalone company after we divest rest of the other business, it can be anywhere between $1 billion to $2 billion a year depending on how successful we are with the project.
Chris Evans: Got you, thanks.
Seifollah Ghasemi: Thank you.
Operator: And we’ll take our next question from Vincent Andrews from Morgan Stanley. Please go ahead.
Vincent Andrews: Thanks very much, and good morning, everyone. Just looking at slide eight, I wanted to make sure I understood your EBITDA margin declined sequentially for the second time in - well, only the second time in many quarters. And it looks like from a regional basis, Europe - sorry, not Europe, but Asia was part of it. So what was the driver of the sequential change, and how should we be thinking about it going into 4Q?
Seifollah Ghasemi: The only reason that that margin is down, Vincent, is because we have recognized $100 million of sale for Jazan with no profit. If you exclude that, our margin actually went up. That is the primary reason.
Vincent Andrews: Okay. And then in the near term, it sounds like since you're more optimistic on the project outlook, you just referenced there could be $1 billion to $2 billion of CapEx in any given year going forward. You said $1.2 billion for this year, and then you've got the cash coming in. So should we be anticipating as we think about ‘17 and ‘18, that CapEx is going to wind up coming in nicely above the $1.2 billion, or how should we be dimensionalizing that?
Seifollah Ghasemi: One, Vincent, our goal will be to have enough projects to spend $2 billion a year because we can afford to do that. So, we are optimistic about the big projects and at the end of the day we have to deliver what we say, but we definitely think that and figure out $1 billion to $2 billion hopefully on the higher end would be a possibility.
Vincent Andrews: Okay, fair enough. Thank you very much.
Seifollah Ghasemi: Thank you.
Operator: And we’ll move to our next question from Stephen Byrne from Bank of America. Please go ahead.
Stephen Byrne: We are hearing that the Chinese central government is putting a halt on new gasification projects, but yet you included coal projects in China among the possible capital projects going forward. Have you seen any change in China with respect to new projects and/or bidding activity in that region?
Seifollah Ghasemi: No, we have not. I think Corning can expand on that, but we have not seen anything. There are a lot of projects going on, I think you have to be careful because most of the coal projects we are involved in are clean coal, I mean the Chinese government will probably have a different view if you’re building a power plant that is using coal, but the clean coal technology that is - we haven’t seen anything, but Corning…
Corning Painter: I think if you looked back a couple of years, looking backwards, there was a pause in approving these projects. Our REIT of the Chinese government, the five-year plan and so forth and just what we see on the ground is that they’re moving towards permitting and authorizing projects going forward. So, I think our view of moment is a little different than that.
Stephen Byrne: Okay. Thank you.
Seifollah Ghasemi: Thank you.
Operator: And our next question from Nils Wallin from CLSA Americas. Your line is open, Nils Wallin, please go ahead.
Nils Wallin: Sorry about that. Thanks again for taking my question. Whence you become a pure-play industrial gas company, your on-site exposure will be significantly higher than the industry. Do you think that's the right mix going forward? Or would you prefer to have even greater on-site exposure? And how might that affect the overall volatility of your long-term cash flows?
Seifollah Ghasemi: We believe very strongly that bigger portion of your business being on-site is a very good thing. And once we become pure-play, about approximately probably 55% of our sales will be on-site business, which is higher than anybody else and we will do everything to expand that. That is where we can get large projects contributing a steady cash flow to the business, that’s a lot better than going buying companies that sell welding glass.
Nils Wallin: Okay. And then, just in terms of the cash that's coming in that you seek to deploy. Obviously, you've talked about a lot of your projects currently having nothing less than a 10% hurdle rate. Will you apply the same or you'll apply a higher hurdle rate to the cash that you - that comes in from the sale and the spin?
Seifollah Ghasemi: What we have said about 10% is that - that is the minimum. Some of the projects that we have signed up for in the last two years have returns which are higher than that. So, on the new cash, our goal will be that if we’ll have a minimum of 10% and hopefully higher than that.
Nils Wallin: Very good, thank you.
Operator: Our next question comes from Mr. John Roberts from UBS.
John Roberts: Do you know what your 2016 guidance is on an equivalent adjusted pro forma basis for the two Versum transactions? That is, what is the $7.45 to $7.55 if we adjust it? And I ask that because a few months from now, you're going to report your fourth quarter, and you'd normally give us EPS guidance at that point. What are we going to compare next year to?
Seifollah Ghasemi: John, I’m afraid you have to wait until October for us to disclose that. There are too many moving part of our corporate cost and accounting methods and all of that, and I think it would be dangerous for me to get into that right now, but we will obviously disclose that to you once Versum and PMD are gone in accordance with the rules we will go back and restate actually the last five years. So you will have total visibility on exactly what’s going on.
John Roberts: Okay, I'll wait. Thank you.
Seifollah Ghasemi: Thank you.
Operator: Our next question comes from Don Carson from Susquehanna Financial.
Don Carson: Seifi, a question on your returns, I know since you became CEO, you have hiked up your minimum return to 10%. So as we look at your project backlog, when do those higher return projects start to kick in? And when could we see an uptick in the earnings contribution from new projects?
Seifollah Ghasemi: Starting 2017, 2018, because these projects are two to four year projects, so some of the ones that we approved last year will come on stream in late 2017, 2018, 2019.
Don Carson: Okay. And then, within the quarter, I know you've given the FX impact on sales; what was the EPS impact of currency? And what is the implied full-year impact in your $7.45 to $7.55 guidance?
Seifollah Ghasemi: Scott will answer you that.
Scott Crocco: Sure. Hi, Don. So, for the quarter, Q3, currency impact versus last year was $0.05. If we look back on what we reported in both Q1 and Q2, that brings to a year-to-date of about $0.18 headwind. As we’ve talked in the past, the way that we handled currency as we take where we ended quarter, now we just assume that rates stay where they are for the rest of fiscal year. When we do that, we would see the fourth quarter relative to last year’s Q4 to be about another $0.02 headwind. So, total for FY16 versus FY15, we’re anticipating about $0.20 headwind year-on-year for currency.
Don Carson: Great. Okay. Thank you.
Operator: [Operator Instructions] We’ll move to our next question from Laurence Alexander from Jefferies.
Laurence Alexander: Good morning. Just quickly, can you give a little bit more detail on the improvement you're seeing in the Chinese liquid market? To what extent - can you peel back how much of that is sequential demand improvement compared to better competitor behavior?
Seifollah Ghasemi: Well, we obviously cannot comment on competitive behavior, but the rest of the question - Corning will answer that.
Corning Painter: Yeah. So, if you look at our overall, you’re thinking mainly liquid, let’s say in China, so we look at the overall for that, we were actually relative flat year-on-year on total, but the quality of our business went up, so we gained a substantial increase and a proportion of that that was going into retail sales. And that’s really where our focus has been on, and if you look at it maybe a little bit more granular than that, very substantial increase for us in nitrogen, oxygen, both retail and wholesale demand has gone down a bit and you can really relate that to the slowdown of the steel industry there. But all in all, even with all those effects, I think the quality of our business improved significantly over the last year. Does that answer your question?
Laurence Alexander: Thank you.
Corning Painter: Thank you.
Operator: And our next question comes from Mike Susan from KeyBanc. Caller, you line is open, please go ahead. [Operator Instructions] And there are no further questions at this time, back over to our presenters for any closing remarks.
Seifollah Ghasemi: Well, thank you very much. With that, I would like to thank everybody for being on the call. Thanks for taking time from your busiest schedule to listen to our presentation. We appreciate your interest and we look forward to discussing our results with you again next quarter. Have a very nice day and all the best, thank you.
Operator: And that will conclude today’s conference, thank you for your participation. You may now disconnect.